Operator: Good morning, and welcome to Townsquare's Third Quarter 2019 Conference Call. As a reminder, today's call is being recorded, and your participation implies consent to such recording. [Operator Instructions] With that, I would like to introduce the first speaker of today's call, Claire Yenicay, Executive Vice President. Ma'am, you may proceed.
Claire Yenicay: Thank you, operator, and good morning to everyone. Thank you for joining us today for Townsquare's third quarter financial update. With me on the call today are Bill Wilson, our CEO; and Stuart Rosenstein, our CFO and Executive Vice President. Please note that during this call, we may make statements that provide information other than historical information, including statements relating to the company's future prospects. These statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from those projections. These statements reflect the company's beliefs based on current conditions but are subject to certain risks and uncertainties that are detailed in the company's annual report on Form 10-K filed with the SEC, and we incorporate these by reference for this call. We may also discuss certain non-GAAP financial measures, including adjusted EBITDA; adjusted EBITDA, excluding political; and adjusted operating income and make certain pro forma adjustments. Such non-GAAP financial measures should be used in conjunction with all the information contained in the quarterly and year-end reports available on our website. We do not provide reconciliations on forward-looking statements due to the inability to estimate certain components of forward-looking statements that are not available without unreasonable efforts. At this time, I'd like to turn the call over to Bill Wilson.
Bill Wilson: Thank you, Claire, and thank you all for joining us this morning. We are pleased to share another quarter of strong financial results with you today and to confirm that we remain on track to having a breakout 2019. Let me start by first sharing with you that both net revenue and adjusted EBITDA exceeded the guidance that we laid out on our previous earnings call. In the third quarter, Townsquare's net revenue increased a very strong plus 7.9% ex-political over the prior year, plus 6.2%, including political, and our adjusted EBITDA increased an impressive plus 12.9% ex-political and plus 6.7% including political over the prior year. Just like in Q1 and Q2, this quarter's strong revenue and EBITDA growth was driven by the consistent strength of our advertising and Townsquare interactive segments. It is also worth noting, that we ended the third quarter with 4.7x net leverage, our lowest net leverage ever and we continue to make reducing our net debt a priority. We believe Townsquare's strong Q3 and year-to-date results demonstrate that our local-first strategy, combined with our talented team's execution is accelerating our transformation from being a leading traditional radio broadcaster to being a premier local media and entertainment company proudly focused on markets outside of the top 50 cities in the U.S. As I’ve shared previously, we are very confident that our marketing and advertising solutions are differentiated from our competition in our markets, are very effective and powerful to help local clients achieve their goals and grow their business, and as a result, enable us to aspire to be not only the number one radio broadcaster, but also the number one Local Media Company in the markets we choose to operate in. Given the strength of our Q3 performance, as well as our outlook for Q4, I am very pleased to share that we are once again raising our full-year adjusted EBITDA guidance and narrowing our full-year revenue guidance to the high-end of the previous guidance range. Stu will provide further details on our guidance in a moment. The headline is that we are raising our 2019 adjusted EBITDA range by $4 million to now be between $102 million and $104 million. As a reminder, this is up from the initial 2019 guidance we issued at the start of the year of $94 million to $98 million. I thought it would be helpful to provide a few tangible examples and data points that reinforce the transformation of Townsquare in 2019 and our belief that we’ve a very differentiated portfolio of advertising and marketing solutions for local clients. First, and perhaps most exciting, is our expectation that total digital revenue will reach $150 million in 2019, a growth rate of approximately 25% year-over-year. Second, in our markets that are measured by Miller Kaplan, Townsquare's third quarter local spot broadcast radio revenue increased plus 4.7% compared to the third quarter of 2018, while the industry overall was flat according to Miller Kaplan. Additionally, Townsquare's total spot revenue increased plus 4.4% compared to the industry being slightly down at negative 0.5%, thus demonstrating, that we are outperforming the industry in both local radio spot and total spot sales in these markets. In the third quarter, we also outperformed the industry in total revenue, which includes both total spot and total digital revenue. A big part of what drives our industry-leading broadcast performance is the strength of our brands and strong ratings position. Since 2017, we have consistently grown our weekly tune or weekly total audience from 11.9 million to 12.4 million people, while maintaining strong time spent listening at 6 hours and 30 minutes despite the fact that the industry overall is experiencing minor time spent listening declines. Our stronger ratings position allows us to drive higher market share, which is supported by our gains in Miller Kaplan and has also allowed us to increase rates with our AMR, average minute rate, up 2% through September of this year. Our strong brands and talented teams also continue to drive very strong web traffic by creating approximately 30,000 pieces of original and compelling content each and every month. In September, we had our largest digital audience in over 5 years, with nearly 20 million unique visitors across our local digital website portfolio and over 40 million unique visitors across our local and national digital portfolio. And while we have successfully transformed our broadcast brands to also be digital brands, we are now in the process of doing just the opposite. This month, we will launch our Radio show for XXL, the number one Hip-hop website that will be syndicated nationwide by Compass Media. At Townsquare, we thread data into our sales process, which provides a strong backbone for our campaigns and client relationships. We were able to give clients the why behind a partnership with Townsquare and support creative messaging and tactics using our first-party data initiative data squared. Data squared is our data management platform through which we collect first-party data from our owned and operated portfolio of websites and apps and analyze this audience, which leads to insights about their behaviors, interest and purchase intents. Our sellers across the country are then able to use this data for prospecting to generate sales materials and to support campaign proposals. This, combined with our live and local on-air talent and strong ratings position is helping to improve our local broadcast performance. It is also worth noting that our local broadcast revenue is being bolstered by our partnership with AnalyticOwl, which allows for broadcast measurement and quantitative attribution, mid and post-campaign. A real-life example of the impact and usage of data at Townsquare can be illustrated in our Portsmouth, New Hampshire market. We developed a research deck for the roofing category, customized to this local market, utilizing first and third-party data, which helped us leverage a new business deal with a local roofer, including our radio and ignite products. We've been tracking this campaign and its performance and are using the data not only to prove to the client that this campaign is working, but also importantly, to help determine where we're getting the best return and optimize the dollars being spent. Another exciting development I'd like to highlight, showcases our ability to use our technology to build solutions for our sales teams. As you know, the team and I spend a lot of time each year visiting each one of our 67 local markets and engaging with our local teams, similar to how the idea for Townsquare Interactive was born in a 2011 Town hall meeting in St. Cloud, Minnesota, we developed and recently launched an innovative sales app as a result of one of our account executives in a Town Hall meeting, requesting a sales tool that could be used during client meetings. As a result, our extremely talented technology and engineering team designed Blueprint. Blueprint is a mobile app that allows our sales teams to conduct a client needs assessment, show product demos, put together a campaign with scheduling and pricing and actually execute the contract all in real-time on their phone or tablet. These unique insights and sales tools are not generally available from our local media competition, and this truly sets our account executives apart in our markets, further establishing Townsquare as a thought leader and solutions provider, not just a media vendor. Our first-party data initiative, our live and local on-air talent, our strong ratings and sales tools and our ability to provide broadcast measurement and quantitative attribution through our partnership with AnalyticOwl, have been instrumental to improving our local broadcast performance. It is apparent to us that great local on-air talent with strong creative, combined with valuable data and attribution tools deliver results. As I have outlined in detail on our previous earnings calls, the primary revenue growth driver in our advertising segment is, and we expect will continue to be, our Townsquare Ignite digital solution, which remains the fastest-growing local client solution across our company. We expect that Townsquare Ignite, which as a reminder, is our proprietary in-house digital programmatic business, will approach $50 million of revenue in 2019 and $100 million of revenue within 2 to 4 years. We are very confident in this business, and we believe we’ve a distinct competitive advantage because our solution where the entire ad second offering is in-house, and we own and control the customer relationship from end-to-end, from activation and optimization of client campaigns to the detailed in-depth client reporting leads to a better customer experience and higher client retention rates. In total, our third quarter advertising net revenue, which includes revenue from our broadcast and digital advertising products and solutions. Increased plus 7.3%, ex-political, and increased plus 5.2%, including political. Our third quarter advertising adjusted operating income, which I refer to as profit on this call, increased by plus 3.1%, with strong profit margins of approximately 33%, a significant contributor to our strong performance in 2019, is our subscription-based digital marketing and solutions division, Townsquare Interactive. I am pleased to share with you that Townsquare Interactive added approximately 850 net subscribers in the third quarter, ending the quarter with approximately 18,150 monthly subscribers. This drove third quarter net revenue to increase, approximately, plus 26% and profit to increase a very strong plus 37% over the prior year. Townsquare interactive operated at nearly a 32% profit margin in the third quarter, and we anticipate that these margins will remain relatively stable going forward, at approximately 30%, as we balance investment and growth. As you will note, we are well on track to surpass our initial goal of 3,000 net ads in 2019. We are confident that we will continue to deliver strong growth at Townsquare Interactive due to our high-quality product offering, growing sales force, greater productivity per seller and our focus on client retention. Based on our current subscriber base and monthly average revenue per subscriber, Townsquare Interactive's run rate, annual revenue was $65 million as of the end of Q3, and we are on pace to achieve our projection of $100 million of revenue within 2 to 4 years for Townsquare Interactive. We continue to have great success selling Townsquare Interactive outside of our local market footprint, with approximately half of our current subscribers not residing within our 67 local radio markets. At the same time, we believe that we are still under-penetrated within our local market footprint as well as within our local markets of similar size and demographics. To illustrate the runway we have in our local markets, on average, we estimate there are approximately 7,500 SMBs in each one of our markets, and thus, across our 67 markets, that totals over 500,000 SMBs, yet we only have 18,150 Townsquare Interactive subscribers today, of which, only about half were roughly 9,000 are in our local markets. Outside of our local radio markets, we estimate our market for Townsquare Interactive is well over 5 million SMBs, therefore, we believe that our future runway for Townsquare Interactive is significant in our local radio markets as well as in like-sized markets across the United States. Turning to our live event business. As we discussed earlier this year, after carefully evaluating our asset portfolio, we've determined we would benefit from fine-tuning our portfolio to focus on live events that are core to our local markets and meaningful to our communities and have healthy margins. Although our live events net revenue declined approximately 27% in the third quarter, we were able to keep profit relatively stable. I believe it is worth noting that our portfolio of strong broadcast brands, great local on-air talent, local live events and our in-house digital solutions and platforms provide local businesses as trusted media partner who provides world-class customer service while achieving their goals. As a result of the ecosystem we have created, clients who in the past may have bought only broadcast from us or only digital from us, now look to Townsquare for comprehensive solutions, and thus, the large majority of our clients partner with us for integrated cross-platform campaigns. I'm so very proud of our talented Townsquare team and the focus and passion in which they are executing our local first strategy. Because of their commitment, 2019 is turning out to be a transformative year for Town Square as we continue to outperform our local competitors from a broadcast perspective, while at the same time, driving very strong digital solutions growth, enabling digital overall to grow quickly as a percentage of overall company revenue and profit. Revenue from our digital advertising and marketing solutions contributes more than one-third of our total company revenue, putting us on track in 2019 to deliver the strongest EBITDA growth for a non-political year in Townsquare's history. With that, I'll turn the call over to Stu, who is going to discuss our strong financial results in much greater detail.
Stuart Rosenstein: Thank you, Bill, and good morning, everyone. As a reminder, over the past 2 years, we’ve completed several divestitures and discontinued certain portions of our Live Events business as we reoriented our business to our local media platform. The results of these Live Events businesses have been reclassified to discontinued operations for the current and historical periods, and these results can be found in our quarterly filings on Form 10-Q. All of the financial results, we will discuss today, are related to continuing operations. Please refer to the tables included in our earnings release, which provide GAAP results and pro forma results as well as our non-GAAP performance measures. For the quarter ended September 30, 2019, net revenue increased 6.2% to $112.6 million as compared to the third quarter of 2018. As Bill noted earlier, this exceeded our previously issued guidance range of $109 million to $111 million. Excluding political revenue, which declined approximately $1.7 million as compared to the prior year. Total net revenue increased 7.9%. Townsquare Interactive net revenue increased 26% in the third quarter, and direct operating expenses increased 21.5%, translating to an adjusted operating income increase of 36.8% compared to the third quarter of the prior year. Townsquare Interactive's third quarter operating margins expanded to 31.5% as compared to 29% in the prior year period. Advertising net revenue increased 5.2% in the third quarter as compared to the third quarter of last year. Excluding political revenue, advertising net revenue increased 7.3%. The increase in advertising revenue was driven primarily by Townsquare Ignite, which continues to be our fastest growing product. Advertising direct operating expenses increased 6.3% in the third quarter due to the continued investment in our product and sales team for Townsquare Ignite to support our revenue growth. Adjusted operating income for this segment increased 3.1% in the third quarter compared to the same quarter of 2018. Live Events expenses declined in line with revenue, which kept Live Events adjusted operating income relatively stable on a year-over-year basis. Third quarter adjusted EBITDA increased 6.7% to $28.8 million compared to the third quarter of 2018, exceeding our previously issued guidance range of $27 million to $28 million. Excluding political, adjusted EBITDA increased 12.9% over the prior year period. We would like to remind you that the provision for income taxes included on the face of the income statement is for GAAP financial statement purposes only. We maintain significant tax attributes, including $189 million of Federal NOL carryforwards and other substantial tax shields related to the tax amortization of our intangible assets. We continue to believe that we will not be a material cash taxpayer until approximately 2026. As of September 30, our total debt balance was $560.5 million. Our total cash balance was $74.2 million, and we had a revolver capacity of $50 million. Our net leverage as of September 30 was 4.7x based on a trailing 12-month pro forma adjusted EBITDA of $103.1 million. As Bill stated earlier, our third quarter net leverage is the lowest in the company's history. We remain focused on reducing our net leverage over the course of the next 12 to 24 months and believe that we’ve ample liquidity on hand to balance net leverage reduction with investments in attractive growth opportunities that meet our investment criteria. Yesterday, the Board approved our 8th quarterly dividend distribution, which will be payable on February 14, 2020, to shareholders of record as of December 27. The declared dividend is $0.075 per share, which would equate to $0.30 per share on an annualized basis. This represents a dividend yield of over 4% at our current share price. Due to our outperformance to date and our expectations for the fourth quarter, we're going to, once again, raise guidance for the full-year. We now expect 2019 revenue to be between $428 million and $430 million, which represents pro forma net revenue growth of approximately 4% over the prior year and 6% if you exclude political revenue. As a reminder, we anticipate political revenue will be around $3.5 million for the full-year and $2.1 million in the fourth quarter. Also, as a reminder, in 2018, we had $10 million of political revenue, $5.7 million of which fell in the fourth quarter. We expect 2019 adjusted EBITDA to increase 6% to 8% to be between $102 million and $104 million, even with the loss of that high-margin political revenue in 2019. Our current adjusted EBITDA guidance is $6 million to $8 million above EBITDA guidance we issued at the start of the year, and $4 million above our most recently issued EBITDA guidance. And with that, I will now turn the call back over to Bill.
Bill Wilson: Thanks, Stu, and thank you to everyone who dialed in this morning. I also want to take the opportunity to, again, thank the amazing and talented Townsquare team across the country for their hard work each and every day that is driving our strong results. You matter. We are very pleased with our performance in Q3, as well as year-to-date, and our ability to once again raise guidance for the full-year. We look forward to finishing the year on a high note as we are on track to delivering the strongest year-over-year adjusted EBITDA growth, in a non-political year, in our company's history. We hope that you agree that Townsquare is not a traditional radio broadcaster, but it has evolved to be a premier local media and digital marketing solutions company with a thriving digital business that has net revenue growth in excess of 20%.We are hyper-focused on super serving our local clients and helping their businesses grow through our local-first strategy, while at the same time, delivering results for our shareholders. As always, please do not hesitate to call us to further discuss our business or ask any questions. I look forward to speaking with our investors at every opportunity. And with that, we are now happy to open the call for questions. Operator, will you please open the lines?
Operator: [Operator Instruction] Your first question comes from the line of Michael Kupinski with NOBLE Financial. Please proceed with your question.
Michael Kupinski: First of all, congratulations on your impressive results. I just wanted to kind of cross-off a couple of things, Political in the third quarter was $635,000, is that right? That number?
Bill Wilson: Thank you, Michael. Good morning. Yes, that's correct.
Michael Kupinski: Okay. And then if you -- just kind of going on your debt reduction, obviously, you're paying down debt pretty impressively here. Can you talk about your targeted debt leverage?
Stuart Rosenstein: Hey, Michael. Thanks. Yes. We are targeting in the near-term -- near to mid-term in the low 4s. We hope to get to there by the end of next year.
Michael Kupinski: Got you. And then are there M&A opportunities at this time?
Claire Yenicay: Mike, it's Claire. There's not that much in the M&A pipeline at this time.
Michael Kupinski: Okay. And then can you give us a sense on the revenue growth rate for Ignite in the quarter? How did the segment perform relative to the previous quarter? And does the company plan to break out that segment in the future?
Bill Wilson: Hey, Michael. Thank you. As we've talked about, that’s our fastest growing segment of our business, currently, in terms of Ignite and the Digital Growth. It accelerated in terms of dollars and percent from a year-over-year basis in Q3 versus Q2, and we see that continuing in Q4. As you know, we don't break that out specifically today, but it's part of our advertising revenue, which in Q3, was up 7.3% ex-political. And as I noted on the call, we had a very strong broadcast quarter, that's why we shared the Miller Kaplan data, but Ignite was the primary driver of that 7.3% growth. And we expect that going forward. As you also know, Michael, we've stated on the call again, that we know and believe that division will be $100 million, and we updated that forecast now to 2 to 4 years from now.
Michael Kupinski: Got you. And then the company has a very innovative approach to its website with content that targets it demos and its radio stations and creates a significant amount of original content that you mentioned on the call. So excluding Ignite, can you give us a sense on what your other digital businesses did in the quarter? And maybe even if you kind of exclude AnalyticOwl. I'm just kind of interested in what your websites contributed? And then also, if you can just give us a sense of what core advertising did, excluding Digital in the quarter?
Bill Wilson: Got it. So I will try to cover some of that. But to your point, our content strategy is specific to the platform. So we create specific content for our on-air broadcast and then for our own websites as well as for our video network and social platforms. And as I noted on the call, in September, and then actually continued in October, but for September, we had our largest online audience ever in the company's history, with over $20 million local unique visitors going to our local radio station websites. When you added our national sites like Taste of Country and XXL and PopCrush and Ultimate Classic Rock, that number was $40 million. So monetizing that inventory as well as from a streaming perspective, which we call our Digital O&O, which is in essence, 1 of 3 buckets. There is TSI, there is ignite, and then our owned and operated Digital that make up our Digital revenue, which I stated on the call, this year, we expect our digital revenue to be $150 million in total for the year. I would share with you, we don't break it out, that's obviously part of our advertising segment, but that was high single digits growth in terms of monetizing our own digital assets. I'm not sure if I hit all your questions, happy to answer if there's any others.
Michael Kupinski: Yes. And I actually always take some of those offline. But again, congratulations on the quarter. Those were my questions. Thank you.
Bill Wilson: Thank you, Mike. I appreciate it very much.
Operator: [Operator Instruction] Your next question comes from the line of Jim Goss with Barrington Research. Please proceed with your question.
James Goss: Okay. Thanks. As you were talking about some of the successes with Ignite and Interactive, it strikes me that Interactive probably is more appropriate from the smaller markets you are dealing with, whether you own them or not, Ignite could actually be applicable to some larger markets as well, it would seem. I'm wondering if -- I know Claire just said that there's not much available in the pipeline in terms of M&A., but if -- would your sites include something any markets larger than the ones you intend to, if you do scan the markets for available M&A? And how large a market do you think this process would work?
Stuart Rosenstein: As you know, Jim, and I appreciate the comments. The -- our focus is on markets outside the top 50 markets in the U.S. and when we're looking at M&A, and we also look at sales channel for Townsquare Interactive outside of our local market footprint. We focus on markets outside the 2 -- top 50 based on our product suite, our customer service, we feel we are differentiated in those size markets, and that's where we are focused from an operational standpoint as well as from an M&A standpoint.
James Goss: Okay. It does seem that with the sophisticated data capture that you're able to do. It makes me wonder if you might have a greater appeal to some national advertisers. Radio is traditionally more of a local revenue base, but to the extent that you can contribute to national reach for national spot and some of those other areas, do you find that to be a greater opportunity than has been true in the past?
Bill Wilson: Yes. I think the short answer is yes, we find it as a greater opportunity. As you know, Jim, our national revenues is less than 10%. It's a very small part of our company, but to the point you're making, the fact that we’ve first-party data and over the last 4 to 5 years, built a data management platform to create those insights. We've used that with national campaigns in our national team, but where we see, I would say, outsized opportunity and differentiation is in these markets that we are operating in, because quite honestly, nobody has that level of data and insights that we're providing our clients as well as our sales teams.
James Goss: And to the extent that you've taken Townsquare Interactive outside of markets where you -- in which you have stations. Do you think there's a potential to do the same with a Townsquare Ignite and Blueprint and AnalyticOwl, some of the other things you've been doing to increase your sophistication?
Stuart Rosenstein: Exactly. I think we see that as a significant opportunity as we look at 2020 and beyond. As we shared on the call, and as you know, Jim, half of our Townsquare Interactive sales are in our local radio markets and half are outside of our markets. So we kind of broke it down on this call, and I think we broke it down on our call earlier this year, with over 18,000 monthly subscribers paying us, on average, over $300 a month. We've got 9,000 in our markets, 9,000 outside. We look at the universe in our markets in terms of ideal customers. So we track that based on the number of employees, annual revenue, certain verticals. Our sweet spot in our markets is about 500,000 SMBs, as I just said, we're under 10,000. And then if you look outside of our markets, still looking at markets with less than 1.5 million population factoring in all the variables that we have. We see a population of SMBs of 5 million. And again, we have less than 10,000. So for Townsquare Interactive, that's why we're confident, and currently won a $65 million annualized run rate. We know we will be at $100 million in a few years, but that's really just a starting point, and we will continue to grow from there. To your specific question on Ignite, we are actually starting to test selling that from our Charlotte based inside sales office. I would say it's too early to share any specifics on this call, but I would say, to your point, we know and we see early evidence that, a, there is work outside our local market footprint; and b, to your earlier point, we could sell this in larger-sized markets. There is obviously more competition in the top 50, but we've seen some opportunity to sell it, nonetheless, in larger markets.
James Goss: Okay. And one last question. Political, last year, I think, did you say $10 million for 2018? And I'm wondering what your expectations are for 2020? Do you feel it would be more or less in the presidential year than a non-presidential year?
Bill Wilson: Yes. So in general, we do $10 million and $3 million on off years in terms of millions. So given that we are outperforming this year in Political, as Stu outlined on the call, our year-to-date numbers are our expectation for Q4. My expectation, based on some of the things like we just talked about, our data squared and first-party data that it will be a great year for us in 2020 from a political perspective than it will be prior presidential years in terms of revenue.
James Goss: All right. Thanks very much.
Bill Wilson: Thank you, Jim.
Operator: Your next question is a follow-up from Michael Kupinski with NOBLE Financial. Please proceed with your question.
Michael Kupinski: Thank you. I'm sorry for a couple of additional ones here. Can you talk a little bit about the sequential monthly revenue growth in the quarter? Was the performance pretty even throughout the quarter?
Bill Wilson: Yes. Yes, I haven't -- we look at it quarter-by-quarter, we actually look at it more from an annualized basis. But no quarter in -- no month, in particular, in the quarter, outperformed or underperformed. We had stable performance throughout. And really, one of the best quarters we've had in quite some time from a broadcast perspective, we see that sequentially improving quarter-over-quarter. So nothing from a monthly standpoint that stands out, Michael.
Michael Kupinski: Got you. And it would seem that you have pretty favorable momentum going to the fourth quarter, and with your political advertising guidance, which was actually a little higher than I expected for the fourth quarter, it seems like you might be a little conservative with your guidance for Q4. I mean can you just kind of give me your thoughts about that, because your guidance for political seems a little stronger than I would have expected.
Bill Wilson: We feel great about Q4. I think as you've seen, we obviously are providing guidance, we’ve 100% confidence in. So if you want to call that conservative, I will leave that to you, but as we continue to do throughout the quarters we beat and raised our guidance or achieved throughout this year. So we are confident, and we think we are setting the right expectations and look forward to closing out the year with momentum and continue into 2020.
Michael Kupinski: Got you. Thanks. That’s all I have.
Bill Wilson: Thank you, Michael.
Operator: Ladies and gentlemen, we’ve reached the end of the question-and-answer session, and I would like to turn the call back to Bill Wilson for closing remarks.
Bill Wilson: Thank you, operator. I just want to thank everybody for dialing in this morning and taking time to learn more about Townsquare. I'm very proud of our results. I'm very proud, incredibly proud of the Townsquare team across the country. We are quite confident as we just talked about in our outlook for the rest of '19 and importantly, 2020 and beyond. And if you have any questions at all, I encourage you to reach out. And we are available any time to talk to all of our investors, and I look forward to doing so. So thank you, everybody.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.